Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Abacus Global Management Second Quarter of 2025 Earnings Conference Call. [Operator Instructions] Please also note that this event is being recorded today. I'd now like to turn the call over to Robert Phillips, Abacus Global Management's Senior Vice President of Investor Relations and Corporate Affairs. Please go ahead, sir.
Robert F. Phillips: Thank you, operator, and thank you, everyone, for joining Abacus Global Management's Second Quarter 2025 Earnings Call. Here with me today are Jay Jackson, Chairman and Chief Executive Officer; Elena Plesco, Chief Capital Officer; and Bill McCauley, Chief Financial Officer. This afternoon at 4:15 p.m. Eastern Time, Abacus Global Management released its second quarter 2025 results. This afternoon's call will allow participants to ask questions about our results. Before we begin, Abacus Global Management refers participants on this call to the Investor web page, ir.abacusgm.com, for the press release, investor information and filings with the SEC for a discussion of the risks that can affect the business. Abacus Global Management specifically refers participants to the presentation furnished today on Form 8-K with the Securities and Exchange Commission and to remind listeners that some of the comments today may contain forward-looking statements and as such, will be subject to risks and uncertainties, which, if they materialize, could materially affect results. For more information on the risks, uncertainties and assumptions relating to forward-looking statements, please refer to Abacus Global Management's public filings. During the call, we will reference certain non-GAAP financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under U.S. generally accepted accounting principles or GAAP. Please see our public filings for additional information regarding our non-GAAP financial measures, including references to comparable GAAP measures. With that, I'd now like to turn the call over to Jay Jackson, Chief Executive Officer.
Jay J. Jackson: Thank you, Rob, and thank you to everyone joining us today for your interest in Abacus Global Management. Welcome to our second quarter 2025 earnings call. After Elena, Bill and I have concluded our prepared remarks, we'll open the floor to your questions. We delivered another excellent quarter of record profitable growth while continuing to execute our strategic initiatives to position Abacus as a leading alternative asset and wealth management platform. For the second quarter of 2025, we almost doubled total revenue year-over-year to $56.2 million, while increasing adjusted net income to $21.9 million and adjusted EBITDA to $31.5 million. Our strong performance was driven by robust demand for less correlated investments and policyholder liquidity solutions, broadening our competitive moat and driving our future growth. Our asset management offerings continue to gain traction with new AUM inflows of approximately $142 million. Additionally, our ETFs managed strong momentum in asset flows, increasing total gross AUM to nearly $3.3 billion. Our strong first half execution driven by our resilient business model has enabled us to raise our full year 2025 outlook. We now expect adjusted net income to be between $74 million and $80 million, which implies strong year-over-year growth of 59% to 72%. Bill will discuss our second quarter financial performance in greater detail shortly. As we continue to evolve and scale, I'd like to take a moment to provide a refresher on our business model and revenue generation, particularly as it relates to other major players in the private credit space. At our core, we're an originator and market maker that controls its own destiny through our ability to lead price discovery driven by genuine market demand. Similar to the largest private credit companies, we originate high-quality assets and sell a portion of those assets at prevailing market prices, determined by actual investor demand. Our own managed funds are beneficiaries of our originations, each of which operates with distinct investment policies and independent investment objectives tailored to their specific investor base. We then syndicate the remaining assets to institutional third-party investors at the same market-driven prices. This dual approach allows us to maximize the value of our origination capabilities while serving diverse investor needs with pricing that reflects current market dynamics. Our investors come to Abacus specifically to access our investment management expertise and proprietary investment products. Most importantly, they want to invest in Abacus originated assets, not assets originated by other companies. This direct relationship between our origination capabilities and investor demand is fundamental to our value proposition and competitive advantage. Our origination platform represents a valuable and unique proposition that differentiates us from other industry players. This platform ensures we maintain control while offering access to a unique asset class experiencing high demand from investors seeking private credit instruments. Looking at the broader market, while the near-term macro environment remains dynamic, Abacus' unique business model and operational acumen ensures we remain strongly positioned to navigate current conditions. More specifically, our origination volumes continue to increase as policyholders seek additional liquidity solutions, while simultaneously, demand for our assets has grown as institutional asset managers and investors pursue less correlated yield opportunities. This durable model of serving both liquidity-seeking consumers and yield-seeking investors creates strategic advantages across market cycles, supported by our robust financial foundation, including $74.8 million in cash and cash equivalents and $387.3 million in balance sheet policy assets as of June 30, 2025. In our Life Solutions business, we posted a realized gain of $58.3 million in the quarter, which demonstrates the strength of investor demand and validates our market-making approach. These realized gains reflect the premium that market participants place on our originated assets, validating that our mark-to-market approach to value is driven by real-time market dynamics. This underscores the effectiveness of our origination-focused strategy and our ability to capture true market value. To provide investors with greater transparency into our business model and strategic execution, we are introducing additional key performance indicators that Elena Plesco, our Chief Capital Officer, will highlight in her remarks. These metrics will give you deeper insight into how we're executing on our overall business initiatives and specifically on how we manage our balance sheet. Along with our strong second quarter results, we expanded our brand recognition, including the launch of a new corporate-focused commercial campaign on June 12, 2025, at our Investor Day & Longevity Summit held at NASDAQ in New York City. The event centered around Abacus' positioning as a visionary leader in longevity-based asset management. The feedback we've continued to receive on our new branding remains encouraging. As prudent stewards of capital, in early June, our Board of Directors authorized a new $20 million share repurchase program effective June 5, 2025, running for up to 18 months. Additionally, in late July, we completed an exchange offer and consent solicitation related to our outstanding warrants as we continue to simplify our capital structure. We were able to tender 88% of the warrants at 0.23 per warrant with the remaining 12% to be converted at 0.207 shares per warrant on August 14. Looking ahead, we're building on our excellent first half achievements and growing brand recognition, which is driving greater policy originations, increased interest in our asset management offerings and our expansion into wealth management, all of which resulted in us raising our full year adjusted net income target. We remain steadfast in our mission to establish Abacus as the go-to player in alternative assets and wealth management. Our distinct market approach paired with access to noncorrelated assets creates a powerful competitive advantage. This foundation enables us to not only to weather market uncertainty, but to capitalize on it and build an even more resilient business. With that, I'll now hand it over to our Chief Capital Officer, Elena Plesco, who joined the Abacus team a little over a year ago from KKR, where she served as Co-Head of Specialty Finance. Elena will discuss the additional KPIs that will provide further insight and increased transparency into our business performance.
Elena Plesco: Thanks, Jay. As Jay mentioned, I'd like to highlight some of our existing and new KPIs, which we believe are important to understand our balance sheet efficiency and capital deployment. First, we pay close attention to portfolio turnover and velocity metrics. In financial services, turnover ratio is a fundamental tool for measuring balance sheet velocity and capital efficiency, specifically how quickly we cycle invested capital and realized returns. In Q2 2025, annualized turnover ratio was 2.3x. Due to stronger demand post Liberation Day, the ratio is slightly elevated as compared to our previously stated long-term average target of 1.5 to 2x. During Q2, we purchased 250 new policies while selling 399 policies, resulting in a sale to purchase ratio of 1.6x, indicating accelerated velocity. This compares favorably to the prior quarter where we experienced a 0.69x sales to purchase ratio on the back of 171 purchases and 118 sales in the quarter. This highlights our increased selective selling activity following a period of aggregation on the balance sheet. Second, we also focused on strategic portfolio aging and inventory management. A key indicator of our balance sheet management efficiency is our ability to monetize seasoned policies at optimal timing. In the second quarter of 2025, our sold policies averaged 243 days held compared to 229 days for owned positions, underscoring our ability to efficiently rotate mature inventory while preserving overall portfolio quality. This 14-day delta for sold policies, while narrower than the first quarter of 2025's exceptional 82-day delta, 294 versus 212 days, continues to validate our proactive approach of realizing gains on well-seasoned positions rather than engaging in reactive selling. This metric highlights our ability to exit older policies and clearly demonstrates that we're managing the balance sheet strategically rather than simply turning newer acquisitions. Third, our health portfolio is a strong indicator of our best ideas. Our commitment to retaining our highest conviction positions is evidenced by our policies held over 365 days, which represent approximately 15% of our total portfolio value, including cash holdings. These seasoned holdings maintain a weighted average grade reflective of their low risk, weighted average life expectancy of 50 months and weighted average age of 85 years, underscoring the quality of our long-term hold decisions. This concentration in our best ideas reflects our disciplined approach to portfolio construction and our confidence in our underwriting capabilities. Finally, we also closely monitor our unit economics performance. Our policy level unit economics validate the effectiveness of our active management strategy and operational discipline. Realized gain on sale represents the difference between what Abacus pays to originate a policy and the actual sales price received when that policy is sold to investors who use their own valuation data to assess the market value of the assets. Our average realized gain on sale is 26.3% for Q2 2025, and you can find that information in our audited financial statements. Over the last 1.5 years, this number has consistently stayed above 20% which demonstrates our capacity to generate consistent returns through strategic balance sheet management while maintaining rigorous cost discipline through our operations. We will continue to provide updates on these additional and historical KPIs in the quarters ahead. With that, I'll now hand it over to our CFO, Bill McCauley, to discuss the specifics of our second quarter results.
William Hugh McCauley: Thanks, Elena, and hello, everyone. As Jay mentioned, we had another excellent quarter of top line growth and profitability. Total revenue in the second quarter of 2025 grew by 93% to $56.2 million compared to $29.1 million in the prior year period. Our revenue increase was primarily driven by greater Life Solutions, formerly active management and origination revenues as well as significant contributions from asset management fees. The key driver of our Life Solutions performance continues to be our highly efficient origination platform and our trading division. Capital deployed increased 16% to $121.8 million in Q2 2025 compared to $104.7 million in the prior year. In addition to our capital deployment, we had a very successful quarter monetizing originations. Abacus syndicated 399 policies to 15 different counterparties in Q2 2025, which represented $208.4 million in fair value and total realized gains of $58.3 million. With the growth in policy origination and capital deployment, as of June 30, 2025, Abacus holds 600 policies with a value of $387.3 million on the balance sheet. We're very excited about the contributions from the Asset Management business as this is the second full quarter of asset management fees from our acquisitions that closed in late 2024. Q2 2025 had $8.8 million in revenue in that business segment. Turning to expenses. Total operating expenses, excluding unrealized and realized gains and losses on investments and the change in fair value of debt for the second quarter of 2025 were approximately $27.4 million compared to $20.1 million in the prior year. The increase from the prior year period was primarily driven to greater depreciation and amortization, the incorporation of operating expenses of the companies that were acquired in Q4 2024 as well as increased marketing to support our growth profile. The company typically realizes the benefit of marketing spend within 90 to 120 days. On an adjusted basis, excluding noncash stock compensation, business acquisition costs, amortization and change in fair value of warrant liability, net income for the second quarter of 2025 increased by 87% to $21.9 million compared to $11.7 million in the prior year. Adjusted EBITDA for the quarter grew to $31.5 million compared to $16.7 million in the prior year, which represents an 89% increase. Adjusted EBITDA margin was 56.1% for the quarter compared to 57.5% in the prior year. GAAP net income attributable to stockholders for the quarter was $17.6 million compared to $0.7 million in the prior year, primarily driven by higher revenues and the gain on the change in the fair value of warrant liability, partially offset by increased operating costs from our acquisitions. Now turning to our balance sheet metrics. For the second quarter 2025, adjusted return on equity was 21% and adjusted return on invested capital was 22%, both reflecting our highly profitable business model. As of June 30, 2025, the company had cash and cash equivalents of $74.8 million, balance sheet policy assets of $387.3 million and outstanding long-term debt of $357 million. As Jay mentioned in his remarks, given our strong first half and our confidence in our business momentum, we are raising our full year 2025 outlook for adjusted net income to between $74 million and $80 million, up from our prior range of $70 million to $78 million. The new range implies growth of between 59% to 72% compared to the full year 2024 adjusted net income of $46.5 million. In summary, we are pleased to maintain our momentum of continued record growth on our top line as well as significantly growing profitability. I will now turn it back to our CEO, Jay Jackson, for closing comments.
Jay J. Jackson: Thanks, Bill. Before we open it up for questions, we felt that it would be useful to highlight and explain 2 specific areas that we get asked about with some frequency. First, revenue measurement on policy sales. We've been asked about how we measure or track revenue on policy sales. Within Abacus' vertically integrated business model, value creation occurs at multiple points, including policy origination, policy servicing and the policy sale rather than solely deriving value from policy maturities or marking the portfolio through forecasted discount rates using life expectancy estimates. Realized gain on sale captures the immediate economic value created when a policy transaction is completed and allows investors to track how we successfully convert the majority of our assets into cash within a year's period. This metric provides a clear picture of our operational performance because it reflects the actual market value of our origination platform creates. Unlike theoretical valuations, realized gain on sale demonstrates the tangible premium that investors are willing to pay for our originated assets in real- time market transactions. We track gain on sale on a historical basis, which informs our view where newly originated assets could be transacted at and as a result, marked to reflect the most up-to-date economic reality. Our average realizations have historically met or exceeded the marks at which we carry assets on our balance sheet. Further, in addition to the average realized gain on sale, you will now be able to track a number of other velocity-based KPIs that Elena discussed earlier, providing you with comprehensive transparency into our business performance and market validation of our approach. Second, Abacus managed funds versus third-party syndication. We get asked about what percentage of policies are sold from our balance sheet to Abacus managed funds compared to syndicating them to third parties. As I mentioned earlier, this dual method is no different than any other leading private credit asset manager. Specifically, we originate high-quality assets and then sell some of these assets at prevailing market prices determined by actual investor demand. A portion is originated for funds managed by Abacus and the balance is syndicated to other institutional third parties at these same market-driven prices. This direct relationship between our origination, market-making capabilities and investor demand is fundamental to our value proposition and competitive advantage. Our investors come to Abacus specifically to access our proprietary originations, policy servicing and valuation expertise and our investment products. The amount we originate for related party funds can vary quarter-to- quarter based on capital availability and other investor demand. The year-to-date related party transactions are reported quarterly in the 10-Q in the related party transaction section. We hope this provides additional clarity into our business. In conclusion, our record second quarter and first half performance continue to validate our resilient and differentiated business model. We're strategically positioned to thrive despite current market uncertainties, thanks to our distinctive value proposition that resonates with both policyholders and investors looking for noncorrelated assets. The market opportunity ahead of us is substantial, and we're energized about leveraging our 20-year track record of consistent financial performance to drive sustainable, profitable expansion over the long term. Again, thank you all for joining us today, and we appreciate your interest in Abacus Global Management. With that, we look forward to your questions.
Operator: [Operator Instructions] And our first question here will come from Patrick Davitt with Autonomous Research.
Patrick Davitt: I appreciate the color at the end there on how you think about originating policies for your own funds versus third parties. It makes sense. But I think given everything that happened last quarter could still raise some eyebrows. So I guess, firstly, could you give a little bit more specifics around the mix of sales between the 2 and 3Q? And then more broadly, how do we in skeptics, I guess, get more comfortable that those funds truly are buying the policies at the market bid that your third parties are paying? I guess in other words, what are the kind of compliance walls and/or security selection processes that ensure that there is no conflict of interest there?
Jay J. Jackson: Sure. Thank you, Patrick. And I'll start with the second part of that question first. And those funds are independent in a sense. And what I mean by that is that they all have -- each have their own policy statement, their own asset management and their own objectives, investment objectives related to the duration and time period of those funds. In addition to that, each fund is required to get a third-party actuarial market valuation of the underlying assets that it purchases, again, on a quarterly basis for its own NAV. That's not something that Abacus has any control of. And in addition to that, that also validates where those policies are being priced at and where those policies are priced at specifically for that fund's objective. So in addition to that, again, we put a third party -- we have a third-party valuation firm come in on a quarterly basis and value the assets of those underlying funds. So to help validate and give additional comfort to those who are concerned about where the pricing is on those policies, that's also something that we bring a third party in to review for each and every fund. The other part of that question is, well, what were the actual percentages? And if we break that down, and you'll find this in the upcoming Q, as a percent of total revenue in Q2, that what we would call related party transactions consisted of 29% of the total revenue in Q2. And year-to-date, that would equate to 17%. And that would include the Carlisle Funds in Luxembourg and all longevity funds that we have. So to be specific, Q2, that would be 29% of total revenue and just 17% total for the year. So I hope that offers you some additional clarity on that.
Patrick Davitt: Yes, helpful. And as a quick follow-up. It looks like you repurchased around 5 million shares, but the average share count barely budged. So I guess that came very late in the quarter. So I guess, first, am I reading that right? And then looking forward, I guess that would suggest then you've kind of fully offset the warrant exchange as we model into 3Q?
Jay J. Jackson: Yes, that's correct, Patrick. When we looked at the pricing of the stock, we looked at it the same way you did. And when we also considered the warrant exchange, it -- with the buyback that we had in place, including insider buying, we felt very comfortable that the additional kind of dilution that you might face with the warrant conversion was offset by all that buyback -- by the buyback that took place. Almost -- in fact, we had more shares in the buyback than the warrant exchange. So you could -- I mean, I could argue it was net accretive, but I'm not going to make that argument at this point.
Operator: And our next question will come from Crispin Love with Piper Sandler.
Crispin Elliot Love: Jay, you commented on $58 million of realized gains in the quarter. Can you share what first unrealized gains were in the quarter? And then just on the $58 million realized, I assume those were primarily converted from unrealized in the past couple of quarters. So if you're able to just share the net gain loss, if that makes sense.
Jay J. Jackson: Sure. I'll have Bill address the second piece. But on the $58 million, you're exactly right. We were realizing -- a good portion of that were realized through the unrealized gains from the prior quarter, which I think, again, speaks loudly on where our valuation had these policies at. Because remember, one of the things that Elena highlighted in her comments was that in Q2, the average trade spread recognized was 26%, which was higher than our historical average of 22%. And that, I think, speaks volumes to the demand for the policies and the underlying assets that we had. I'll have Bill touch on the unrealized piece.
William Hugh McCauley: Yes. The unrealized gain for the quarter was about $17 million.
Crispin Elliot Love: Perfect. That's helpful. And then just on the guidance, you increased it, but to oversimplify, if you just run rate the first half of the year to the second half, you get to $78 million for just illustrative purposes. Can you discuss expectations for the second half from an earnings perspective? Do you expect to grow off of the first half? Or are there certain puts and takes worth calling out comparing first and second half from an earnings perspective?
Jay J. Jackson: Sure. We expect to grow in the second half of the year. I think that when we were looking at the guidance number, we felt that we were -- it made sense to increase the number. And when we looked at -- but we wanted to be careful on a dollar-for-dollar basis just because there are some still unpredictable things in the overall economy out there that we just wanted to be thoughtful of. And so when we looked at the guidance, we wanted to make sure we felt very comfortable with the guidance that we were putting out with the expectation that we would continue to grow in the second half, but potentially not exactly dollar-for-dollar as we did in the first half.
Operator: And our next question will come from Andrew Kligerman with TD Cowen.
Andrew Scott Kligerman: I like the new KPIs very much. Just looking at the number of policies held going down from 753 to 600 sequentially. And then, of course, that was a function of the annualized turnover ratio being at 2.3x, well above the 1.5 to 2x average. So I guess what I'm thinking about is, where would you like to keep that average turnover in that 1.5 to 2x? And where would you like to keep the average number of policies or the number of policies held on a kind of a consistent basis?
Jay J. Jackson: Sure. Thank you for that, Andrew. And yes, we put that range to give you some guidance on that 1.5 to 2. And I think that's a fair range. And it can vary quarter-to-quarter just dependent on what is investor demand at that time period and/or what has our acquisition been like. For example, if we have excess origination in that quarter, there might be some delay to the next quarter before you see then those policy sales. So you could see some fluctuation in the number of policies held, but that's your turnover ratio in any given quarter. But that's why we felt very comfortable with that 1.5 to 2. We think it makes total sense as to where we were in Q2. We had excess demand in Q2, and we're able to capitalize on that. As a trend going forward, we're confidently seeing similar types of demand and -- evolve in Q3 and potentially through the rest of the year. But we won't really know until we get towards the end of the quarter. But we feel really well positioned where we are right now with the amount of capital that we -- or excuse me, cash and cash equivalents that we have on our balance sheet to put money to work in these opportunistic times. So I don't know if there's a number that I would tell you on the number of policies because it could be one quarter where we're buying some smaller policies and another quarter where we're buying larger policies. And so I don't know if I'd focus quite as much on the number of policies as much as I would focus on the 1.5 to 2.
Andrew Scott Kligerman: That makes a lot of sense. And when I think of the strong gain that you posted 26%, I just want to make sure I'm clear, is that purely the price you paid, it's the denominator with the numerator being what you received? It's not an annualized number so.
Jay J. Jackson: That's correct. Yes, that's what happened in Q2. So we performed above what we did initially, what our historical trade spreads had indicated at closer to 22%. And if you look at the KPIs in the new deck, you'll actually see how we track that for you where you look at that historical trade spread on a quarterly basis now.
Andrew Scott Kligerman: That's pretty strong. And then just lastly, on the G&A expenses at $18.9 million. How are you thinking about that going forward? Is it going to track with revenue? Or do you think you're going to keep it pretty steady? How are you thinking about G&A going forward?
William Hugh McCauley: So it will grow as revenue grows, just not at the same percentage. I mean I think we have a couple of things going through that line item with additional headcount to support growth. And then we've had a little bit of increased legal fees over the last couple of months. But from a normalization standpoint, we expect to be south of that $18 million number on a quarterly basis.
Operator: And our next question will come from Randy Binner with B. Riley.
Randy Binner: So I have a question about the breakout on related party transactions as a percentage of revenue. That's a helpful disclosure. Is that on -- is it on -- I assume is it on Life Solution revenue or total revenue, those percentages?
Jay J. Jackson: Yes. So on those percentages, that would be on total revenue. But if you really break down, nearly all of our revenue is in Life Solutions right now. I mean, certainly, there's some in Asset Management and some other areas. But we focused on all the revenue against it just because primarily, that's been a key driver of our revenue on a percentage basis.
Randy Binner: Yes. Got it. And then kind of similar breakout that I'd be interested in. So for the policies that went to third parties, can you -- I think this will also be in the Q, but can you give us some color on the breakout of kind of insurance partners versus financial investors?
Jay J. Jackson: Sure. And yes, it's a little more of a challenge to break out because what's happening, Randy, is that we're servicing a lot of those assets ultimately for them. And breaking those out is sometimes a confidentiality request on their part. But I think in our deck, you can see that how we've increased the amount of policies that we service is pretty substantial. And we're continuing to expand the relationships rather with our carrier partners as well as our reinsurers. And we're working on what I think is really interesting structures so that they can participate in a more significant way.
Randy Binner: Okay. And then just one more, if I can, on Asset Management. It's kind of early days in that business, so maybe we were conservative, but the fees to AUM were kind of higher than we forecasted. Is that -- is there anything -- is this the right level? Is there anything unusual? It's about 27 basis points on AUM. Just wondering how predictive that is or if it's even going to get better from here.
Jay J. Jackson: Yes. We're going to continue, I think, to see improvement over time. And we're seeing a lot of interest in the Asset Management piece of our business, and we're continuing to evolve that segment of our business, I think, in a very significant way. And obviously, we can't predict the future, but we feel really good about where we are, where those numbers are now and feel good that there's a lot of room to grow.
Operator: [Operator Instructions] Our next question will come from Mike Grondahl with Northland Securities.
Michael John Grondahl: Congratulations. Kind of following up on the question about the back half of the year. Jay, were you implying sequential growth for revenue and adjusted net income? As you guys went through 2Q, you kind of had Liberation Day there early, a lot of volatility, a lot of uncertainty. There's part of me thinking that you just had pricing power at both ends when you were sourcing policies and then when you were selling policies. And if you lose just a little bit of that, that kind of cuts in the margin. So I guess just help us think sequentially the next couple of quarters.
Jay J. Jackson: Sure. And part of what we can go to is that we can look back historically too. And historically, sequentially, Q3 and Q4 have always historically been stronger quarters for us than the first half of the year. And the risk that I think we step into a little bit is that you're right, we had a terrific Q2. And what does it look like Q3, if we're sequentially higher in Q3 over Q2? And I'm looking at the consensus numbers and now that we're talking to all of our analysts, I mean I would love for you not to raise consensus. But with that said, all kidding aside, the momentum that we've talked about through Q2 is we feel good about, and it's continued. And there are investors and there is demand for this asset still meeting with the increase in origination. If you look at even our marketing spend increase, that's increased quarter-over-quarter and not just broadening the message across the board with Abacus, but our marketing spend, even on our origination, we're signing up new national account relationships. And so as this message is becoming more validated and I would argue more normal, that's continuing to improve our origination. And then supplementing the origination, though, is our servicing book is our asset management fees, right? All of these things are beginning to build in to smooth out, Mike, some of that disparity that you might think is going to happen. And so I think that when you start to kind of post these consistent results like we're continuing to do, I think that gives investors and certainly shareholders a lot more comfort around what's coming next.
Operator: Our next question is a follow-up from Patrick Davitt with Autonomous Research.
Patrick Davitt: Just a quick one on the $142 million of flows. Is that gross or net? And if gross, could you give the net? And it's a very similar number to 1Q. So is that like a run rate that the business is at? Or is there some lumpiness there as we look into second half?
Jay J. Jackson: Sure. Thank you, Patrick. Yes, that was gross. And then the net number, remember, it's not that much different, right? And the reason why is that these assets come in into longer-term strategies. And so if you look back, what's really interesting about the capital raise, let's kind of look at that maybe on an annualized basis. Most of the capital in our -- kind of in -- within Q1 came in towards the latter part of Q1, I would say, kind of the last 2 weeks of March. And then we started to see some kind of normalization here over the summer and with some potential expectations that could increase in the second half of the year. But if you think about it, really over the last 4 months, we've raised, give or take, approximately almost, what, $240-plus million. So I don't want to forecast and say, hey, that's because these things can obviously -- capital raise can move. But from what I can tell and where we sit on this, we feel good that this is -- that the capital raise is starting to be pretty consistent and demand is hopefully going to continue as we get into Q3, Q4. And the last thing I would add to that, as we're adding additional products in the alt space, like we should continue to see that number increase. Sorry, and one additional piece to that, Patrick, is that the only net is the ETFs, which is $11 million. Everything else is gross, yes.
Operator: And this concludes our question-and-answer session. I'd like to turn the call back over to Jay Jackson for any closing remarks.
Jay J. Jackson: Terrific. I just want to take a moment and thank everyone. We are incredibly grateful for all of our shareholders, our investors and who have taken the time to continue to expand and continue to learn and learn our story in a more granular way. And we are committed to continue delivering that story on a much more broader scale because we believe that the story is going to continue to grow as our company continues to grow. And as you look at where our business is, it's maybe in the earlier stages of potentially one of the next really large private credit asset managers, and we are well on that path. And it's a good time to take a look at Abacus because as we look out over the next year, 2 years, 3 years, 4 years, 5 years, we are definitely meeting and exceeding the expectations that we have set out for ourselves, and we'll continue to do. So thank you very much for all of your support. Thank you for listening in on this call. And if you ever need to reach us or speak with us, we are certainly available to you. Thank you so much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.